Operator: Good afternoon ladies and gentlemen, and thank you for standing by. Welcome to the Titan Machinery Incorporated Fourth Quarter and Full Year 2007 financial results conference call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator Instructions) This conference is being recorded today, April 28, 2008. I would now like to turn the conference over to Mr. John Mills. Please go ahead, sir.
John Mills: Good afternoon ladies and gentlemen, and welcome to the Titan Machinery's Conference Call. On the call today from the company are Mr. David Meyer, Chairman and Chief Executive Officer, and Mr. Peter Christianson, President and Chief Financial Officer. By now, everyone should have access to the fourth quarter and full year's earnings release for the period ending January 31, 2008, which went out this morning at approximately 4 p.m. Eastern time. If you have not received the release, it is available on the investor relations portion of Titan's website at titanmachinery.com. This call is being webcast, and a replay will be available on the Company's website, as well. Before we begin, we would like to remind everyone that the prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance, and therefore undue reliance should not be placed on them. These statements are based on current expectations of management and involve inherent risks and uncertainties, including those identified in the risk factors section of Titan's 10-K, which was filed this afternoon. These risk factors section contains a more detailed discussion of the factors that could cause actual results to differ materially from those projected in any forward-looking statements. Titan assumes no obligation to update any forward-looking projections that may be made in today's release or call. And, with that, I'd like to turn the call over to the company's Chairman and CEO, Mr. David Meyer.
David Meyer: Thank you, John. Good afternoon everyone, and welcome to our fourth quarter call. On today’s call, I will provide some highlights of our fourth quarter results, the general update on our business, and review our goal strategy and opportunities. Then, Peter will review the financial results of the quarter and full year in more detail and provide a full year guidance for fiscal year of 2009. I will then provide some closing remarks, and we'll open up the call and take your questions. I am very pleased to report strong fourth quarter and full year results for Titan Machinery. Revenue for the fourth quarter came in at the upper end of our guidance range and increased 61% to $135 million compared to the same period last year, reflecting solid organic growth and growth through acquisitions. And our fourth quarter operating income increased 65% to $6 million. For the full year, our revenue increased 48% to $433 million, and our operating income for the year increased 68% to $19 million. Each of our main revenue sources, equipment, parts and services had double-digit gains, contributing to the strong revenue and profit increase for both the quarter and full year. As most of you are aware, we are benefiting from a strong agricultural economy. Commodity prices are substantially higher than a year ago. USDA on stock reports, 2008 planning intention reports, and 2008-2009 total US use estimates indicate the potential for 2008 new crop carry-overs at very tight levels. These state commodity supplies combined with increased crop demand from renewable fuels in developing countries bode well for not only a 2008 crop pricing year, but for the prices well into the foreseeable future. It is interesting to note that pricing levels of crops marketed by our grower customers in last year's 2007 growing season reflect forward contracts put in place at significantly lower full year 2006 in spring of 2007 pricing levels. Very strong future contract prices in fourth quarter of 2007 through current levels indicate much higher pricing potential for the 2008 crop. In other words, growers did not receive the entire favorable impact of fourth quarter 2007 crop pricing for the 2007 crop due to early selling and the 2000 year, and forward contracting of the 2007 crop at lower 2006 and prior year prices. Pricing opportunities are much more favorable for 2008 crops than any time in history. Barring a weather disaster, our customers are positioned for another record year in 2008. Strong commodity fundamentals, income from sales of 2000 crop sales deferred in to 2008, and the positive tax impact for 2008 equipment purchases from the recently enacted Economic Stimulus Act of 2008, creates a very attractive climate for selling new and used farmer equipment in this current year of 2008. To say the least, the farm economy is extremely robust. To give you a high level perspective, we are in the early stages of a paradigm shift in agriculture. But as we are seeing unprecedented revenue for our growing customer base, income costs have also risen dramatically. These high input costs reinforce the importance of purchasing the latest technology and productivity to maximize yields and cost efficiencies. A long term future for sustainable farm equipment demand has never been brighter. In addition to agriculture, the economy in our construction market is much improved over national trends due to the impact of agriculture and the energy commodities in our region. Both North Dakota and South Dakota are hot spots for energy, there is significant oil, natural gas, coal and wind energy in our states. Due to the more favorable economic conditions in our construction equipment markets, we are witnessing continued growth in both the commercial and residential sectors in the cities of Fargo, Bismarck, Sioux Falls, and Rapid City. Even though we have a very positive economic climate surrounding our four state agriculture and CE business, I don't want this to overshadow the strength of our operating model. We're leveraging best practices across our stores, we continue to increase or pre-tax profits as a percentage of revenues. We can continue to market percentage, and at the same time, we experience tremendous top line growth. A strong store model continues to populate our markets with new and used farm equipment and construction equipment. The used equipment revenue component and recurring high margin parts and service revenues differentiates us from the equipment manufacturers, and gives us stability and predictability in all economic cycles. I'd now like to spend some time discussing our acquisition strategy. Over the past 27 years, we have built a network of 41 agricultural and construction equipment dealerships including two outlet stores in the four upper Midwestern states of North Dakota, South Dakota, Minnesota, and Ohio. Since 2003, we have made 17 acquisitions consisting of 34 stores in all four states in which we operate. They have a well established track record of successfully integrating acquired stores, retaining acquired stores employees, and maintaining acquired store customer relationships. This integration process has led to a very strong organic growth as well, once the acquired stores are incorporated into the tightened business model. For full fiscal year of 2008, we made six acquisitions consisting of 10 stores. Looking forward, we foresee many additional opportunities for acquisitions. Our industry consists of largely fragmented and aging dealer base. Nearly every week, we're contacted by dealership owners asking us to look into acquiring any other business. The reason an owner may want to sell his dealership can be as simple as the one that he wants to retire but has no succession plan for his business, or it can be a lack of capital or support to the recent advancements in farming equipment. With the advancements in farm technology over the past several years, the farm equipment business has become much more sophisticated. When some of these dealer principles were starting out, tractors were sold for $30,000, and combines were sold for $40, 000. Now, new tractors and combines are in the $200,000 to $300,000 range. With men and dealers for capital, and well trained employees, business sophistication has increased significantly. This combined with a much increased visibility of the public company is driving increased level of inbound acquisition inquiries. To summarize, many dealers are interested in selling their businesses. The manufacturers, CNH in our case, are promoting this consolidation, and the customers are looking for dealerships with a top tier selection of equipment and parts as well as a higher level of technology, and sophistication is required to support their equipment in the field. The bottom line is, this industry is aligned right for consolidation, and we are one of the few players that have the scale, resources, and experience to capitalize in this opportunity. As we see it, we have only begun to realize our potential. We have a full pipeline of acquisition candidates. The secondary offering will solidify our balance sheet, putting our company's position to capitalize on both the one store and large multi-store acquisition opportunities. We are exploring international growth; with a large number of domestic deals in the table, we have an unprecedented opportunity to expand our footprint. With that I would now like to turn the call over to Peter to review our financial results and provide guidance for next year. Peter.
Peter Christianson: Thanks, David. I am very excited to share with you our fourth quarter and full year operating results. We delivered very strong results in both revenue growth and bottom line profitability. Now I am going to review our results in more detail, and then I will discuss our outlook for the full year ending January 31, 2009. Our total revenue for the fourth quarter ended January 31, 2008, increased 61% to $135 million. Fourth quarter revenue from equipment sales increased 66% to $113 million. Fourth quarter revenue from parts increased 56% to $13 million in the quarter. Fourth quarter revenue generated from our service business increased to $6.4 million. This gives us a fourth quarter sales mix of 83% for equipment, and 15% for our after sales product support, which as you recall is our reoccurring revenue portion of our business. Fourth quarter same-store sales increased by 17.3% for the quarter. When we look at same-store sales, we know that's important, but were are very sensitive to remember that our sales mix has an affect on our margin. But as we see same-store sales, we need to keep in mind that the sales mix can affect our operating margins. During the strong agricultural environment, as we are seeing now, the farmers tend to buy more equipment, and since our lower gross margins are lower on equipment, our revenue is higher providing leverage and resulting in a higher gross profit contribution. If the agricultural economy is not as strong, we will see less equipment sales, but we'll generate more revenue as a percentage of overall sales in parts and service, which is a higher margin business. In short, our diversified revenue streams enable us to be profitable on both weak and strong environments. Our operating expenses as a percent of net sales were 12.8% in the fourth quarter versus 11.8% in the fourth quarter of the prior year. This increase in operating expenses as a percentage of sales was primarily due to an increase in our variable sales and incentive compensation related to the strong results for the year being recognized in the fourth quarter, an additional cost associated with operating as a public company. Our fourth quarter operating income improved to $6.2 million, with an operating margin of 4.5% versus $3.7 million, and an operating margin of 4.4% in the fourth quarter of last year. GAAP net income for the fiscal fourth quarter was $270,000 or $0.02 per diluted share, which is within our previously issued guidance range of $0.01 to $0.03 per share, versus net income of $1.4 million or $0.21 per diluted share for the fourth quarter last year. Fourth quarter net income and earnings per share include one-time IPO-related debt conversion and retirement cost of $2.7 million after-tax or $0.25 per diluted share. Excluding these costs, we exceeded our previously issued pro forma guidance, and achieved net income of $3 million or $0.27 per diluted share for the fourth quarter compared to our guidance of $0.21 to $0.23 per share. For the full fiscal year ended January 31, 2008, revenue increased 48% to $433 million from revenue of $292.6 million in the fiscal year ended January 31, 2007. Operating margin increased 60 basis point to 4.4%, and operating income increased 68% to $18.9 million. Same store sales for the year increased 16.8% over the prior year. GAAP net income was $5.2 million or $0.67 per diluted share for the full fiscal year, which exceeded our previously issued guidance range of $0.61 to $0.63 per share, compared to net income of $3.6 million or $0.57 per diluted share for the prior year. Our net income and earnings per share include one-time IPO-related items that I mentioned earlier, equating to $0.33 per diluted share. Excluding these costs, we exceeded our previously issued pro forma guidance of $0.89 to $0.91 per share, and achieved net income of $7.9 million or $1 per diluted share for the full year. As a reminder, our fourth quarter weighted average of full diluted outstanding shares was 10.9 million, and our full year weighted average of fully diluted shares outstanding for fiscal year of 2008, was 8,246,000 shares. Now I would like to turn to a few key components of our balance sheet. Our total inventories amounted to a $146 million at the end of the fourth quarter, up from a $106 million at the end of the fourth quarter of last year. The increase in our inventory is attributable to having more stores in our network compared to last year, and also to our positioning for the robust agriculture market. We believe our inventory and access to inventory positions us well to achieve our revenue outlook. At January 31, 2008, our subordinated debt was $1.3 million. We used proceeds from our IPO on December to pay off $9.4 million of debt, and converted $6.4 million of debt into 2.3 million common shares. Now, I would like to spend a moment discussing our upcoming secondary offering. This afternoon we filed a registration statement with the SEC for a follow-on offering of 3.5 million shares of our common stock. Craig-Hallum and Robert Baird will be joint book runners for the offering. As David mentioned earlier, we are seeing an increased number of acquisitions, including larger multi-store opportunities. We have always executed well on our acquisition strategy and want to make certain that our capital structure will support our ability to go through selective acquisitions. As we foresee many additional acquisition opportunities, we want to ensure that we have a strong balance sheet to properly fund these potential acquisitions. Now turning to our outlook. Our policy on guidance is that we will give annual revenue and earnings per share guidance on our fourth quarter call, and update the annual guidance if necessary in subsequent quarters. We'll not be giving quarterly guidance, as we evaluate our business on an annual basis given the numerous external factors such as weather patterns and timing of planting and harvesting seasons that impact our quarterly results. With that said, we are raising our revenue outlook for the full year ending January 31, 2009 to a range of $550 million to $600 million, compared to the previously issued guidance of $530 million to $590 million. In addition we are also raising our earnings per diluted share guidance by $0.10 for the full year to a range of $0.87 to $0.92 per share, compared to previously issued guidance range of $0.77 to $0.82 per diluted share. Fully diluted shares outstanding for the fiscal year ending January 31, 2009, are estimated to be approximately 13.8 million shares. This outlook discussion does not include the impact of the proposed follow-on offering separately announced by us today. Now, I'd like to turn the call back over to David for closing comments.
David Meyers: Thanks, Peter. We are pleased with our results for the fourth quarter and full year, and are confident we can capitalize on growth opportunities. We continue to remain keenly focused on huge opportunities ahead, and to execute our long term growth strategy. Before we take your questions, I'd like to conclude by thanking our employees for our achievement to-date, and thanking our valued customers for the continued support. We appreciate the support of CNH, and I'm excited about our future, and look forward to delivering long term value to our stock holders. Operator, we are now ready for questions-and-answers portion of the call.
Operator: Thank you (Operator Instructions). Our first question comes from the line of Bob Evans, Craig-Hallum Capital, Please go ahead.
Bob Evans - Craig-Hallum Capital: Good afternoon everyone and congratulations on a great quarter and year.
Peter Christianson: Thanks Bob
Bob Evans - Craig-Hallum Capital: First, can you comment a little bit more as it relates to the acquisition pipeline in terms of kind of quantity of opportunities and quality of opportunities, and if you're going to try to put a ballpark in terms of how big that pipeline was from the revenue standpoint. Could you, perhaps, give us a ballpark range?
David Meyers: Well, first of all I would say, right now we had a solid I would say, three years of acquisition pipeline in front of us taking these on a nice methodical method. When we're on a road show, we told everybody we want to do acquisitions that's 15% to 20% of our annual revenue, so based on our guidance, Bob, you can kind of figure that, averaging about 90 to 100 or some million dollars here in acquisition and they are definitely out there. I think, if we talk about in a very aging dealer group out there right now, I think a lot of them won't understand how can I wind my business, still be part of the business. We are getting great testimonials from dealers that we've acquired. Some of these guys - they thought they are going to get out of business, we've kept our own during the transition and they are having a time of their life. So, we are just seeing a lot of strength right here, excellent atmosphere for doing this here. So everything is in place for this pipeline. And since we are a public company right now, all of a sudden we've get more visibility and we've got some real big bite stores or groups out there right now and are coming to us in a very, very serious, and all want to be part of Titan. So, I am really opportunistic about our acquisitions out there right now.
Bob Evans - Craig-Hallum Capital: Okay. And to follow that on, in my report I put that I believe, you can be a billion dollar revenue company, and I believe that has been talked about in the past. Is that something where, are you seeing the opportunities that you are seeing to become that larger company in the upper Mid-west or can you elaborate in terms of kind of geographically where do those acquisition opportunities, where your priorities are?
David Meyers: We can hit the billion dollar number with just what we have in our current footprint in the states in which we operate. The potential is out there to do that and this is a great market in which to do it. There are opportunities out side our market too, but we are really interested in what's the stuff right now, what we call as our contiguous footprint.
Bob Evans - Craig-Hallum Capital: Okay. And then also on your margins, your equipment gross margins were much better than I had modeled as well as your operating margin, can you elaborate a little bit more in terms of margin or performance and is that something can be sustained.
Peter Christianson: Commenting on our margins and our equipment, we had a stronger fourth quarter equipment margin and which was due to our stronger market, and we also had a manufacturer market share incentive bonus plan and that was recognized in the fourth quarter, but it was measured by our entire year’s results and that had to be recorded during our fourth quarter.
Bob Evans - Craig-Hallum Capital: Okay. And in terms of operating margins you are ahead of pace in terms of what I thought you would get to a 4.5% tight margin. I mean do you continue to look at that in terms of tracking to that type of operating margins, I know it will vary from quarter-to-quarter, but on a annual basis can you give us some sense in terms of your outlook on margins.
Peter Christianson: Historically we have been continually improving on that and we are currently in a solid environment, and so when we look at our tightened operating margins I think you were talking 4.5, it is 3.5.
Bob Evans - Craig-Hallum Capital: No, I am sorry, yes.
Peter Christianson: Yeah. And we feel real confident in that and we just keep on executing on this business model that we have, and a big part of this, Bob has been integrating in these acquisition stores in to our tightened operating model. Of course, as we grow and we get a larger base of stores that are part of the existing base then the percentage of stores we are bringing in on integration is a little less. We feel confident on continuing on what we have been doing historically.
Bob Evans - Craig-Hallum Capital: Okay. And finally I will let others ask questions, but can you give us a little bit of commentary in terms of the overall equipment availability out there in terms of, if a customer were to come in and want a tractor or a combine. What is the typical lead time right now and do you feel, you are happy with kind of where your inventory is relative to the market.?
David Meyers: Well, we anticipated this back in 2007 and we did an excellent job of pre-selling our equipment to fourth quarter of 2007, or taking those deliveries now, Bob. And then what we also did is we wanted order board and order slabs and we put in as many. We're really aggressive on orders, you can see that our inventory has increased $40 million and also lot of that is anticipation of this upcoming year in 2008. So right now, we are in great shape on inventory. We are getting it. The lead time is getting longer as we look out here, but we position ourselves real good for this fiscal year.
Bob Evans - Craig-Hallum Capital: Okay, thank you
Operator: Our next question comes from the line of Robert McCarthy, Robert W. Baird, Please go ahead.
Robert McCarthy - Robert W. Baird: Good afternoon guys
David Meyers: Hi Robert
Robert McCarthy - Robert W Baird: Hi. I want to make sure that everybody is on the same page definitionally. The 17.3% same store growth in the fourth quarter, is that a measure of growth of everything except what you acquired in the last 12 months, or is this, just a statistic calculated excluding any acquisition in the last 24 month?
Peter Christianson: When we talk about our same store sales, the definition is that anything that we talk about on our fourth quarter. Those stores that we include for same store sales had to have been within our Titan complex for the full 12 months in the prior year's quarter and of course in this quarter of this year. But they had to be there for the full 12 months, three months in a quarter, but full 12 months prior to that quarter.
Robert McCarthy - Robert W. Baird: Prior to last year's quarter?
Peter Christianson: Right. All stores included in same store sales last year they would have been with us for 12 months, sometime during that quarter last year.
Robert McCarthy - Robert W. Baird: Okay, in the third quarter, in the October quarter, you reported about a $16 million top line benefit from case programs associated with Magnum specifically, and indicated that you thought you would see some carry over, that we would some carry over into the January quarter. Was that impact in the January quarter greater or less than the third quarter?
Peter Christianson: It was much less.
Robert McCarthy - Robert W. Baird: It was much less. And do you have anything at all comparable to that, that's in the market place right now?
Peter Christianson: No, we don’t, if we would have, we would have called that out.
Robert McCarthy - Robert W. Baird: Okay.
Peter Christianson: Because we would like to keep it, so that all of you folks when you are gauging our same store sales growth, we take out anything that we see is a one-time. That is how we did it on our last earnings call.
Robert McCarthy - Robert W. Baird: Okay, if I may, I would like to ask about product availability a little bit differently. In terms of your guidance for the coming year, $550 million to $600 million of revenue. If the demand was there for another, pick a number, $50 million of equipment, would you even be able to get it out of case in New Holland.
David Meyers: Right now, I would feel confident, we could, right now.
Robert McCarthy - Robert W. Baird: Okay.
David Meyers: It is tight, but when you do not have volumes start crawling over you. We have a lot of relationships, a lot of contacts within other dealers for all North America and it never feels that there is some parts of country that have weather issues and things that come up throughout the year. If you are standing close to the pipeline, you are listening, you are talking, and you are making phone calls. A lot of this machinery from the CNH standpoint is going to be distributed on prior reports of the retail customers. So, we get the retail sale, the retail customers, I believe stronger that we are going to get the iron.
Robert McCarthy - Robert W. Baird: Very good. And if could I ask about SG&A expenses, operating expenses in the fourth quarter. Peter you mentioned specifically the impact of variable comp impacting the quarter and incremental public company expenses. Could you put some kind of order of magnitude around those facts so that we might see what the sort of underlying steady state rate was. And then secondarily, should not we assume that a lot of these expenses are really an ongoing expense?
Peter Christianson: We do not break that out, Rob but what I would say is that we do have a totally variable selling expense and we also have variable incentive comp, which is driven by us having a record year.
Robert McCarthy - Robert W. Baird: Right.
Peter Christianson: And there is an uptick if you will in our SG&A for now operating in a public environment, and we have our SOX compliance that we are working with. But I don't see that as being a main driver here.
Robert McCarthy - Robert W. Baird: Okay.
Peter Christianson: To give you a little bit of color. I do not see that as being the main driver. What we have done is we have basically engineered our compensation system where we pay for performance. Last year we had a strong performance here. So we have the variable sales and incentive compensation that played a heavy role on that and, of course, that those measurements which are annual measurements fall in to the fourth quarter.
Robert McCarthy - Robert W. Baird: Yes, I understand. In terms of what is included in your outlook; number one, what are you assuming for tax rate, Do you believe that it would stay the same or vary?
Peter Christianson: Yes, if you look at our historical tax rate it has been around at 40%, and we're real comfortable with our historical tax rate, you will notice that you we had a difference in our effective tax rate in our fourth quarter which had a small effect on our annual results for fiscal year '08. But we are real confident going forward in our outlook that we can go back to looking more closely at our historical rate and that was around that 40%.
Robert McCarthy - Robert W. Baird: Very good, thanks Peter.
Peter Christianson: Thank you
Operator: Ladies and gentlemen, (Operator Instructions). Our next question is a follow-up question from the line of Bob Evans. Please go ahead.
Bob Evans - Craig-Hallum Capital: Hello again. Can you give us some color on the new use equipment mix for both the fourth quarter and the full year ballpark?
David Meyers: I don't know that we called that out in our reporting, however, based on looking at our historical operating results, we are not really seeing anything that would give you any material differences from what our historical trends have been.
Bob Evans - Craig-Hallum Capital: What were those, just for clarification?
Peter Christianson: Essentially what is happening is, in this business for every new sale we make, we have to take in what we call a trade in as a residual value to that owner and there is what we call a wash out that we work the deal through so that we end up getting our used sales based on that. We have not called that out in any of our SEC reporting. But to look at it from a color standpoint, it's not really changing any from what it has been historically. The margins that we built into our model are gross margins that really have reflected what our historical mix have been and we don’t see that as being a material difference. I can say that with this increase in our demand that we look for our turns or inventory turns to be up, which is a good thing for our balance sheet.
Bob Evans - Craig-Hallum Capital: Okay. Could you comment on the talk about the future pricing or the commodities market at the beginning of your prepared remarks. Can you give us, for those who may not be as up to date where things lie, a sense of futures pricing today versus whole things looked a year ago, or give us some sense of trend here, so we have got a sense of the pricing in the market?
David Meyers: To give you an example of that, last fall I was out, busy with customers at our combine corner, and at that time the cash core market was probably up around that $5 market. And I said, well you are pretty happy. He says yeah, I am combined in three dollar corn right now because he had contracts a year before. Well, so there is a lot of that happening. I talked to the other guys, I said, even though we have approached $19 last year in the fourth year, there is a lot of, but we sold the whole wheat crop for $4, and this came from selling earlier or for contracting it back in 2006. So what we are seeing right now is, if you look back in fourth quarter and then the first part of 2008, a lot of people (inaudible) next crop. We are seeing corn cards, a lot of corn contracts up to closer at $5. So, everything that's getting planned this year is, a lot of it if they did do recent forward contracts it's going to be at substantial higher prices than what happened last year. Then, we also talked about, lot of the, some of sale of grains that was deferred into this year. So, they are going to be getting income from that this year, plus this big crop. So, this economic, some of this, actually get some big first time depreciation. I think that's really going to bode well for our business this year.
Bob Evans - Craig-Hallum Capital: And can you elaborate for everyone in terms of what that is as a tax impact to your business because if you could just do that that will be helpful.
David Meyers: Well we got this section 179 deduction, now that limit is increased to 250,000 and then they let the maximum investment goal to, now this was signed in along February 13th of this year. But then the maximum investment limitations increased from 510, 000 up to 800,000. But a real big part of this law is, there is the accelerated depreciation which the new 50% first year depreciation on our equipment purchases. So this is just huge for our business or anything to do with large ticket equipment items, and I guess this was just passed in along February 13, George W. Bush signed that. So the timing of that's just perfect because a lot of income is going to be pushed in 2008 for our customers.
Bob Evans - Craig-Hallum Capital: Okay. All right. Thank you.
Operator: Our next question comes from the line of Dan Chase, Stevens Investment Group. Please go ahead.
Dan Chase - Stevens Investment Group: Quick question this. Your guidance is that predicated on, I noticed you said it was on the current shares outstanding. But does that include acquisitions from the financing you are raising in the secondary offering? And then secondly how quickly can you put the money to work that you are going to raise in the secondary offering and how much revenue would that translate to?
Peter Christianson: Can you repeat the first part of that question again?
Dan Chase - Stevens Investment Group: Sure the guidance that you put out in the press release, you said that there was round about current share count of 13.8 million. But does that guidance of revenue in earnings, I guess include future revenues that are going to be used from the secondary offering, meaning are you going to have to, the money you are raising in the secondary, are you going to put that to work to create revenues that are in that guidance? I am just trying to match the shares outstanding with the revenue.
Peter Christianson: Yeah, good question. First of all when I talked about our guidance, at the end of the discussion on our guidance I did make it very clear that the discussion does not include the impact of the proposed follow on offering that we announced today.
Dan Chase - Stevens Investment Group: Okay so that includes in the revenue side?
Peter Christianson: Most of our guidance does not include any difference. Like I said; nothing that we're talking about on our guidance has the impact of the proposed follow on offering as well as any of the revenue outlook either.
Dan Chase - Stevens Investment Group: Great, okay. And then how quickly can you putt that money to work from a standpoint of post secondary wise, when you raise that money. How quickly can that money be put to work and if you raise roughly, I don't know, $60 million, whatever the number will be, what would that translate to you approximately from a revenue standpoint?
David Meyers: Like I said earlier, we've got this big full pipeline of acquisitions out there and a lot of you, when we went on the road show and we talked about where, we're doing an acquisition. I think our track record proves that we are way ahead of the curve right now. We've done quite a few more acquisitions since we even started our road show back in December where we ended up. So, we've got acquisitions just right there. We just announced what was told in Ohio here today, which is great market, great acquisition. We're really getting closer on another multi-store acquisition. Also we are going to make an announcement in next few week's on. And our plan is to put this to work as quickly as possible. And I think, you can look by our past performance that we've proven that we are good at doing acquisitions.
Dan Chase - Stevens Investment Group: And lastly, the multiple you guys are paying on at least the most recent one, I am guessing with the new environment, the bigger environment for the ad company. Are they asking for more multiples or is it still sort of paying for inventory, etcetera, that you were doing in the past?
David Meyers: We got to be a little bit careful talking about this, because we do have a lot of acquisitions in motion right now. But basically we haven't seen a lot of difference in the way we have been buying these dealerships right now than what we were last year or the year before.
Dan Chase - Stevens Investment Group: Okay, perfect, that's appreciated. Thanks guys, good quarter.
Operator: Our next question is a follow up question from the line of Robert McCarthy, Please go ahead, sir.
Robert McCarthy - Robert W. Baird: Just related to your comments about growing the platform. One in these larger multi-storey unit deals that you have in the pipeline, are these in your four state contagious served area?
David Meyers: We have some that are in our four stated area, and in fact we got a little bit careful because we have signed some nondisclosure confidentiality thing. So there is hopefully some many dealers out there. So, I can’t say, so, but we've got some of that, I think that you would all be very excited about. And for the last three, four years we do get enquires from the rest of United States, and we continue to get those, but we do have some that I think you will be really excited about.
Robert McCarthy - Robert W. Baird: Fair enough. I think it was Peter who made a reference to pursuing incremental international growth opportunities, I wonder if you could put a little color to that?
David Meyers: Well, I mentioned that we are exploring that. And as you are all aware, even though, we've got a real robust farm economy in North America, there are other parts or roles that are probably even better than that. And with a large farm equipment dealership like we are, we are going to be doing our stockholders our ourselves judges, if we were not exploring those and there are opportunities out there and we will keep you addressed as we get further in to those.
Robert McCarthy - Robert W. Baird: You are talking about things growing out of your historical market development work in Central Asia or are we talking some beyond that?
David Meyers: No, I really can’t talk about that right now. All I can say is we have done some business in the past, but there are some things in horizon right now that works for it.
Robert McCarthy - Robert W. Baird: I see, okay, well thank you very much.
Operator: At this time, we did not have any additional questions; I will turn the conference back to management for closing remarks.
David Meyers: Okay, thank you everybody for your participation today and we look forward to sharing our progress with you next quarter. I also want to know note that we will be attending a number of investor conferences during the next few months. So we hope to see you there. So again thank you and we will talk to you next quarter.
Operator: Ladies and gentlemen, this concludes the Titan Machinery Incorporated fourth quarter and full year 2007 financial results conference call. If you would like to listen to a replay of today's conference, please dial 303-590-3030 or 1-800-406-7325. The pass code for this conference is 3868041 and the conference will be available for replay through May the 12, 2008. We would like to thank you for your participation. Have a pleasant day. You may now disconnect.